Operator: Thank you for standing by, and welcome to the Nautilus Q1 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. As a reminder, today’s conference call is being recorded. I would now like to turn the conference over to your host, Mr. (Alex Khan), with Investor Relations. Sir, you may begin.
Unidentified Company Representative: Thank you. Earlier today, Nautilus released financial results for the quarter ended March 31, 2022. If you haven't received this news release, or if you'd like to be added to the company's distribution list, please send an email to investorrelations@nautilus.bio. Joining me today from Nautilus are Sujal Patel, Co-Founder and CEO; Parag Mallick, Co-Founder and Chief Scientist; and Anna Mowry, Chief Financial Officer.  Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking within the meaning of the federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release Nautilus issued today. Except as required by law, Nautilus disclaims any intention or obligation to update or revise any financial or product pipeline projections or other forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, May 3, 2022. With that, I'll turn the call over to Sujal.
Sujal Patel: Thanks, Alex. Good morning, and thank you to everyone for joining us on the call. Today, we'll review our results for the first quarter of 2022, and provide an update on a range of recent scientific and related activities. My remarks will be relatively brief, as Parag has much to share with you. I'll begin by thanking our teams in the Bay Area and Seattle for their dedication and hard work again this quarter. Because of their efforts, we've continued to make strong progress against our key scientific and business goals. Each scientific objective we reach, and each business milestone we achieve, gets us one step closer to our ultimate purpose of improving the lives and health of people around the world. By providing ubiquitous access to the proteome, we expect to expand countless research horizons, and enable boundless scientific exploration and discovery. Our team of scientific and engineering innovators, is fully aligned towards and committed to realizing these important objectives. Now, more than ever, we believe Nautilus has the potential to revolutionize biomedical research, by unlocking the potential of the proteome. The world needs a dramatic acceleration in target identification and therapeutic development, but researchers have been hobbled by the lack of sensitivity, scale, and reproducibility of both traditional and emerging approaches. We believe a bold scientific leap is required to overcome these limitations and to radically reinvent proteome, something we continue to view as one of the last and most significant untapped opportunities in biological science today. We envision powerful research uses for our platform. For example, proteomics could make it possible for researchers to more quickly identify the mechanistic origins of diseases, ranging from cancer to Alzheimer's. Understanding those mechanisms is key to identifying effective treatments. We also envision the platform being used to identify biomarkers, which are able to stratify patients by disease severity, or by which treatments are most likely to be effective. As physicians and researchers use advanced proteomic technologies to catalog the proteomes of more and more diseases, they'll be able to identify molecular targets for therapeutics with higher likelihoods of success, create new protein-based diagnostic tools, better understand mechanisms of drug resistance, and more precisely monitor therapeutic effectiveness.  When richer proteomic data begins to drive deeper research insights, we foresee significant increases in patient well-being and health. A key to our continued success will be scaling up a world-class team across a broad range of disciplines and keeping that team laser-focused on our long-term mission. One of Nautilus’s superpowers is the deep integration of capabilities across life sciences, computer and data sciences, and physical sciences and engineering. The heart of those engines is our talented team, and their dedication to Nautilus is critically important and will create a clear point of competitive differentiation for us in the long run. I'm pleased to report that we have hired Gwen Weld as our Chief People Officer, to lead our continued scale-up, to deepen our existing high-performance culture, and to do so in a way that creates an inclusive, driven, and highly collaborative work environment. Gwen and I have worked closely together in the past, and I've seen firsthand the type of impact she can have on an organization. I'm pleased that she's chosen to join us, and could not be more excited about the opportunities for success that lie ahead. When I look back on the progress made in Q1 and the successes of the year leading up to it, I'm struck by how far we've come in such a short period of time. In 2021, we began our journey as a publicly-traded company, announced a strategic partnership with Abcam, and signed research collaborations with Amgen and the University of Texas MD Anderson Cancer Center, along with our ongoing work with Genentech. But these exciting developments are only the beginning, and as we look ahead to the remainder of 2022 and beyond, we're excited to have you along on this journey with us, and look forward to updating you on our progress along the way.  I'll now turn the call over to Parag for an update on our research and development activities. Parag?
Parag Mallick: Thanks, Sujal. The first quarter was highlighted by solid progress against our scientific goals, continued maturation of development processes for both our consumables and our instruments, and an increased number of opportunities to share our innovations with the scientific community. We take very seriously our commitment to always operate with the appropriate openness and transparency, and I was pleased that Q1 provided a number of really great opportunities to put that philosophy into practice. For example, I was excited to have the chance to share important results from our collaboration with Genentech at US HUPO, the us arm of the Human Proteome Organization, in March. Our poster titled, single molecule detection of isoform-specific tau phosphorylation, drew significant attention and interest from attendees, and led to a number of high-value conversations throughout the event and afterwards. One particularly memorable moment came when a well-known researcher shared with me his view that biology happens at the single molecule level. Sentiments like these from our future customers, represent validation of the potential impact of our technology. Since HUPO, I also presented a talk on the development of a novel single molecule proteomic analysis platform at the Annual Congress of the European Proteomics Association, EuPA. I was gratified that a packed house to several hundred researchers, came to the presentation. The presentation itself was well received, and afterwards, our team was inundated with great questions. While I had a number of conversations with attendees at EuPA, one really stood out to me. Immediately following my talk, I had a fantastic discussion with a highly respected German researcher. After the event, he wrote to me and suggested a number of really creative applications and workflows, leveraging the Nautilus platform, that could enable researchers to ask and investigate fundamentally different questions than ever before possible. Frankly, many of his recommendations for how one might use the Nautilus platform, were ones that had never even crossed my mind. It was exciting to hear a biology-focused proteomics power user, see the potential of our platform to serve as a valuable complement to his traditional analysis methods. As with many proteomics meetings, EuPA has a heavy focus on the use of mass spectrometric methods for proteomics. The positive attention our presentation received, was a good sign for things to come, with this critically important and influential buying audience. I believe now more than ever that the Nautilus platform is going to spur tremendous creativity and innovation in the broader proteomic community.  In addition to those opportunities, our Associate Director of Applications Development, Dr. Greg Kapp, presented a poster at the American Association of Cancer Research’s annual meeting on our single molecule approach. In addition, as part of that AACR presentation, we shared for the first time, internal development results that demonstrate our ability to produce antibodies that bind to trimer and tetramer peptide targets at Picomolar EC50s. That is incredibly strong binding, many orders of magnitude stronger than the therapeutic antibodies used in medicines today. When we conceived of the platform, we recognized the challenges associated with creating a novel class of antibodies that were not typically built because they were not protein-specific. This data clearly demonstrates that our hypothesis was correct, and validates the ability of our internal teams to build these antibodies.  Another important scientific cornerstone of our platform, is our ability to create high-quality, hyperdense, single molecule protein arrays, that allow massively parallel detection and identification. Critical to that is our ability to deposit single protein molecules as uniformly and completely as possible across the 10 billion landing pads on that hyperdense array. Using our nano-fabricated chip and innovative proprietary technology based on DNA nanostructures, we demonstrated single molecule pad occupancy of over 90%, while simultaneously limiting co-localizations. This breakthrough enables the creation of hyperdense single protein molecule arrays, where there are almost never two proteins on a single pad, thus enabling high-speed analysis of complex protein samples in a way that achieves both high sensitivity and wide dynamic range. The manuscript, highly dense and scalable single protein arrays for single molecule studies, describing this important achievement, is now available on Bio Archive. Q1 saw continued focus on advancing our commercial instrument. The process of taking an instrument from concept to build to commercial use, involves a number of important phases that are closely orchestrated collaborations between our engineering, software, integration, and applications teams. We continue to successfully transition to a manufacturing posture as we build towards full commercial availability. Before I turn things over to Anna to review our financials, I want to take just a moment to tell you a little bit more about our new Vice President of Affinity Reagent Development, Dr. Sheri Wilcox. For those who might not be aware, Sheri comes to Nautilus from SomaLogic, where she was instrumental in the development of various products, and where she most recently served as Senior Director of Global Scientific Engagement. She's a renowned protein scientist, whose presence is already making an impact here at Nautilus, even in the early days of her time with us. We are all very excited to have her on our team. With that, I'll hand the call over to Anna.
Anna Mowry: Thanks, Parag. Total operating expenses for the first quarter of 2022 were $16.0 million, a 90% increase from $8.4 million in the first quarter last year. That growth in spending was primarily a result of an increase in headcount and related costs to support ongoing development of our products, as well as taking on the costs associated with being a public company. Research and development expenses for the first quarter of 2022 were $9.7 million, compared to $4.8 million in the first quarter of last year. General and administrative expenses for the first quarter of 2022 were $6.4 million, compared to $3.6 million in the first quarter of last year. Overall net loss for the first quarter of 2022 was $15.8 million, compared to $8.4 million in the first quarter of last year.  Turning to the balance sheet, we ended the quarter with approximately $349 million in cash, cash equivalents, and investments. We continue to be well capitalized, giving us cash runway through commercialization. As you've heard from Sujal and Parag, we're using those resources to invest in key personnel and initiatives to advance our mission and scientific progress, prioritizing spending on product development, launch, and initial commercial readiness efforts.  With that, I’ll turn it back to Sujal.
Sujal Patel: Thanks, Anna. Looking ahead, we're thrilled to be hosting our inaugural Analyst Day in late September at our R&D headquarters in San Carlos, California. We'll have a full agenda that day, including a preview of our planned pricing model, and the public unveiling of our instruments. We continue to believe even more firmly, based on extensive market analysis and KOL interviews, that our anticipated pricing will be supported by the extraordinarily valuable data that users will be able to derive from the platform and its ongoing use. We are excited about what lies ahead for Nautilus and the difference we plan to make in biological science. Our mission to positively impact the health and lives of people around the world, remains our north star. I'm grateful to our investors, our strategic partners, our research collaborators, and our team, for joining us on this journey to transform proteomics and empower the scientific community in ways never before thought possible. We continue to make good progress, and look forward to updating you all along the way as we continue toward commercialization of our platform and beyond.  With that, I'll turn the call back to the operator. Operator?
Operator: Thank you. [Operator Instructions]. Our first question comes from Brandon Couillard with Jefferies. Brandon, your is open.
Matt Kim: Hey, guys, this is Matt on for Brandon morning. Thanks for taking the questions. First one, I think last quarter you indicated you begun a supply chain exercise to ensure diversification of key components. Just curious if you've started to see the benefit of this, and then more broadly, if there's any ball mix within the supply chain as you look to the finalizing scale-up instrument development here over the next few quarters.
Sujal Patel: Let me go take that. This is Sujal. Thanks for the question. So, I think, when we talk about diversification in our supply chain, there's kind of two important areas that we should discuss. One is on the hardware and the pieces that go into our instrument. We have to make sure that we've got good diversity of suppliers, and that we are managing our single-source component supply well, that we've got a pipeline of those parts, and that we've got good supplier relationships. And our Head of Manufacturing and Supply Chain, Mary Godwin, has been at this for something - many decades. She's a pro at it and that work continues well.  The other side that we should talk about is really on the reagent side. And as many of you will recall, our system relies on 300 different affinity reagents roughly to go and perform the iterative binding that's required to comprehensively quantify the proteome. And we've done a lot of work in our agreements with external parties, like Abcam, for example, to make sure that we've perfected our supply for the long term and we've got the terms that we need to make sure that we'll be able to scale effectively once we're into that revenue ramp post-commercialization. And so, from that regard, I feel very good about our supply chain strategy.  The other question you asked, or at least underneath what you asked, was really about supply constraints. And you guys know probably from hearing from companies that are our peers and companies larger than us, that supply constraints are - they’re a concern out there. Equipment lead time for things that we use in our own lab are significantly extended. Random shortages appear here and there. And what I'd say on that front is, I mean, we're no different than any other company. We're aware of it. We're managing it well, and we don't see any significant impact on our progress because of that.
Matt Kim: Okay, great. And then another kind of higher-level question is just, it's been a few quarters since you and a handful of other emerging proteomics companies, entered the public markets. I’d be curious, not so much on the competitive differences you've discussed prior, but more so your updated thoughts on how conversations have evolved over the last six to 12 months. Is it going to become more familiar with you as well as kind of the proteomics category more broadly, especially now that you've been able to present some papers and data over the last few months here?
Sujal Patel: Yes. Matt, why don't I - this is Sujal. I will tackle this first and then I'll let Parag add a little bit of color here. And I think it's important to kind of talk about different constituent groups, right? And let me start with kind of the investment community. One of the things that I've been really excited to see is, over the course of the last, I'd say, six months, I've started to see many of the investors who have significant positions in the DXM tool space, spend a lot of time on the proteomics market, in particular, many of the new entrants. And I feel like the conversations that I have with the investment community, as well as the Wall Street analysts, are much more informed today. Investors are much more aware of the differences in approaches, and ultimately the specifications of the products that different companies are bringing to the market or have brought to the market. And I feel like the interest in the proteomics revolution that's coming up in front of us, continues to grow in the investment community.  The other audience that's important to talk about is really the scientific community, which includes collaborators, potential customers, and partners. And I think that over the course of the last six months, partially because of the activity with companies becoming public companies and new approaches coming out into the marketplace, but also the continuous and growing sort of innovation that's being brought to the scientific community through conferences, papers, and publications, we're seeing a lot of interest in new approaches and particular approaches outside of mass spectrometry, to go and try to tackle this single molecule comprehensive proteomic profiling. And I'll pass it to Parag in a second, but we continue to see increasing engagement with the scientific community and potential customers, and it gives us a lot of confidence that when we move through our EAP, our early access program, and then to full commercialization, that we'll be able to get off to a really quick start. Parag, do you want to add some comments there?
Parag Mallick: Yes. I'll just add a little bit about, as the different approaches are coming to the forefront, what's also becoming clearer are some of the axes upon which they agree and disagree and what applications are informed by that. So, for instance, some of the key criteria are around, if it is a single molecule-based approach, just how large is the space that is able to be measured? That has directed implications on sensitivity, has direct implications on dynamic range. And those are - we hear from the community how important those factors are. We also hear a lot about reproducibility and throughput as being really important differentiators. And so, we're paying very close attention to our customers and what are they asking for, and getting increased clarity through our voice of customer exercises, as well as conversations at these conferences.
Matt Kim: Thanks. That's really helpful. And then one quick one for Anna. I think OpEx here came a little bit below our expectations for 1Q. Any color you can provide on cadence as we move through the rest of the year and maybe expectations around headcount additions? I think last year you nearly doubled that. Should we expect a similar pace this year, or do you expect it to level off a little bit? Thank you.
Anna Mowry: Of course, Matt, happy to take that one. Last quarter, I made the comment that our OpEx would grow, as you mentioned. We still that to be the case, and we expect the pace of investment to pick up over the next several quarters. The majority of our spending is driven by headcount, either directly or indirectly. And as we look at our pipeline of candidates today, we feel really good about our ability to grow the team over the remainder of the year.
Matt Kim: Super. Thank you.
Operator: Thank you. Our next question comes from Max Masucci of Cowen. Your line is open.
Stephanie Yan: Hi. This is Stephanie on for Max Masucci. Thanks for taking the questions. The first question is, could you provide some additional detail on some of the key learnings or takeaways from the Genentech collaboration? How are you using these learnings to inform your other collaborations with Amgen and the Anderson and any other collaborations you might pursue?
Parag Mallick: I can take that one. This is Parag. I think one of the key things that we’ve been learning has been the tremendous interest and excitement about proteoforms. And in particular, the recognition that that biology happens at the single molecule level. So, the ability to look at a diversity of proteoforms when they're admixed together on intact protein molecules, has become increasingly important and increasingly recognized as we continue our studies with those partners. The other thing that we've been actively working on is using these partnerships to understand how different content that is commercially available, the process of onboarding that content so that we are able to run a diversity of panels on the platform, and onboard them quickly and efficiently. And so, those learnings have translated over. We also have become much more formal about our expectations around controls and experimental design, as well as data interpretation and analysis for what is, frankly, an entirely new data modality.
Stephanie Yan: Got it. That's helpful. Thank you. And also, it's great to see the appointment of the new VP of Affinity Reagent Development recently. could you provide some color on some of the near-term action items or key project for Dr. Wilcox?
Parag Mallick: So, I can't provide too much detail there, not speaking to forward projections, but I can comment that her scope is all things affinity reagent. And so, ensuring that we have a mature pipeline, both internally and externally, driving the development of that pipeline, as well as helping us with - as an executive, our expectation is that she will contribute more broadly than just the scientific mission, to all aspects of culture and planning and strategy as well.
Stephanie Yan: Got it. And if I could sneak in one more. Parag, you spoke earlier about how you spoke to a researcher at one of the conferences about new applications for the Nautilus platform, some of which you had not thought of before. Do you mind providing some additional color on some of these other use case recommendations?
Parag Mallick: Sure. I think one of the very exciting opportunities in looking at the proteome, is recognizing its incredibly dynamic nature, as well as recognizing the differences between regulation at the genomic scale, the transcriptomic scale, and ultimately at the proteome scale, and the handshakes between those scales. The handshakes are really driven by a series of kinetic processes, of protein turnover, of RNA turnover, how protein molecules are created and destroyed, and at what cadence. And the ability to do those studies on our platform was one that I've always been excited about the potential of, but maybe hadn't quite figured out immediately how one might approach that challenge. And very quickly, this researcher was able to come up with a really elegant experimental design to allow us to directly look at protein turnover in - as a dynamic process.
Stephanie Yan: Got it. That's great to hear. Thanks again for taking my questions.
Operator: Our next question comes from Tejas Savant of Morgan Stanley. Your line is open.
Edmund Tu: Thanks, guys. This is Edmund on for Tejas today. Just a quick question. On the last call, you guys mentioned a compression of probe schedule delivery, and you also talked about looking into efforts to scale characterization integration capabilities. I'm wondering if you guys can circle back to that and maybe touch upon some of the low hanging fruits that you saw or some of the strategies that you've identified and are implementing now in terms of scaling of the characterization and integration capabilities.
Sujal Patel: Yes. Thanks for the question. This is Sujal. Let me take the first half of that, and then I'll pass it to Parag to talk about the scaling of our integration and qualification efforts. So, on the previous earnings call, what we had said was that we have a lot of irons in the fire on the probe development side of our house. We have multiple initiatives away internally, including initiatives based on Aptima development and antibody development. And we have a number of external third parties that are helping us on the development of antibodies via both stage display and traditional methods, and on the Aptima front. And with the number of concurrent projects that are going on, each of them having a lead time, that led to this compression in the delivery schedule, where we have a large number of probes that are coming in in a short period of time. The development of these affinity reagents is a time-consuming process. So, we're just a quarter in since our last update.  So, I don't have a whole lot of updates, other than to say that we continue to see that same effect occurring later in the year with this compression of the deliveries that are coming from our external partners and our internal initiatives. And I would say that we're starting to see what we expected, which is that some of our external parties are putting up very good data and results, and we will continue to invest in those partners and accelerate our investments in those partners. And we have some partners that are having a more challenging time developing these short episode binders. And for those partners, we'll decide to either continue with them or to lower our investment levels there and redirect those investment funds to strategies that are working really well. And I think that's all proceeding according to plan. And as Parag mentioned at AACR, the poster that we presented had some really nice data, which highlighted for short epitope trimer and tetramer binders that have affinities in the (indiscernible) range. So, that was really exciting to see. Parag, do you want to talk about scaling our integration and qualification efforts under Dr. Wilcox?
Parag Mallick: Sure. I'm happy to. This is Parag. To your question about, what are we doing to scale our efforts? One of the key challenges that we faced early on, which we discussed previously, was in the availability of our - in our process, we have a number of different types of reagents. We have reagents we're mobilizing proteins on surfaces. We have reagents which was the subject of this manuscript that was - that's now available on Bio Archive. We have reagents for labeling our affinity reagents, and then we have the affinity reagents themselves. And one of the major challenges that we were having in accelerating the throughput of characterization of our affinity reagents, was having sufficient volumes and qualities of both the other constituent reagents in the system. So, we've done a lot of work over the last several quarters on scaling the availability of the fundamental SNAP reagents, which are used to mobilize the proteins on the surface, as well as the reagents that we use to label the affinity reagents. And so, that process, being able to make more of them, make them better quality, understand their quality, has paid dividends throughout the rest of the characterization process, just allowing us to label more candidates more quickly, get them on the platform more quickly, and ramp our ability to characterize these reagents.
Sujal Patel: Just to add just one last bit of color on this, this is Sujal again. One of the things that I think is confidence-building for me, is that both on the probe development side, and on the probe qualification and integration side, we have a lot of automation that's enabling us to - internally enabling us to perform development activities, and qualification activities, and integration activities in parallel. And from an external perspective, the partners that we use are used to doing lots and lots of affinity reagent development. And so, their processors are already parallel. And for us, this is a platform where we only need to have hundreds of affinity reagents to comprehensively quantify the entire human proteome. And that's very different than a traditional proteomic assay, where you may be trying to add thousands of affinity reagents into the next revision of your platform. And so, that - the power of this computational approach is that we need very, very few affinity reagents relative to other approaches, to reach virtually the entire proteome.
Edmund Tu: Got it. Thank you for the color. That was very helpful. And then, I was wondering if you guys can provide us with an update on the progress you've made with your partnerships with Amgen and MD Anderson. I think on the last call, you guys said that it was a little too early in the stages of the discussion, but now that you have some more time, I was wondering if you guys have had the opportunity to figure out the roadmap from here, and if it's - I don't know if it's too early for you to say, but when can we expect some data from these collaborations, and how to do you envision these projects scaling up?
Sujal Patel: Parag, do you want to tackle that, or you want me to tackle that?
Parag Mallick: I think I can tackle that. But I think briefly, it is still a little early to share too much information about those partnerships. They're proceeding really well. We're excited about the progress that's being made, but at this time, we won't be making any statements about their status.
Edmund Tu: Got it. And if I could squeeze one more in. now that you guys won't be articulating a firm timeline as associated with the milestones for a specific number of proteins, what should investors look at to track the progress you are making towards launch?
Sujal Patel: Yes. This is Sujal. Let me tackle that one. I think that what I would say on that front is, while we are not committing to a firm timeline on these intermediate milestones, what we said on our previous earnings call, was that we continue to be confident in our end of 2023 commercial launch. And as you saw with our progress in Q1, we do intend to continue to provide the investment community and our potential customers and the scientific community, with updates through papers and publications, posters, abstracts at conferences. And so, what I would say for investors and what I say to investors when they ask me this question is, to keep looking for that data. Just because we haven't committed to a firm timeline to reach intermediate milestones, doesn't mean that we don't have intermediate milestones and that we won't be publishing and showing that data once we're there. And I think that the thing in Q1 that you, saw was a little piece of that, right, which is at AACR. You saw us present the data on our short epitope affinity reagents. And as we continue through the remainder of this year, as we have scientific advances, we'll continue to use methods like that to get our results out in the marketplace and show progress incrementally towards our early access program, and then ultimately our broad commercial launch.
Edmund Tu: Got it. Thank you very much for the time.
Operator: Thank you. Our next question comes from David Delahunt of Goldman Sachs. Your line is open.
David Delahunt: Hey, guys. Great to hear about your continued active involvement in the scientific community, the publishing and presenting at conferences. We know you have a very powerful and exciting technology. Any ideas for opportunities for improvement that have come out of these discussions?
Parag Mallick: I'll take this one. That's Parag. I'd say, the - at this time, I think what we've been mostly excited by is, every time we talk to somebody, they have a new cool application for the platform. And those conversations have led us to say, wow, that's a really interesting, exciting application area that helps us refine the specifications of that early, earliest product. And so, I don't know that we've, as yet, had folks come to us and say, oh, if you did things this way, it would materially impact what you're doing, but instead, we've heard a lot of, oh, I could use that for this, which is really exciting to hear.
David Delahunt: Okay, great. And great to see you’re managing cash really conservatively. Looks like you have a really long runway. And is there any additional color you can give on how you expect that to trend?
Anna Mowry: Hi, Dave, this is Anna. Like everyone, we're keeping a close eye on market conditions, and are very thankful to have raised $345 million last year. We still have a really strong balance sheet, with $349 million in the bank that de-risks us through this next phase as we're achieving our scientific milestones. To your question, we're investing for growth, but we're being very diligent about maintaining our cash runway through commercialization, and that's really our plan over the next phases of the business.
David Delahunt: Great. Thanks, guys.
Operator: Thank you. ladies and gentlemen, showing no further questions at this time, this does conclude today's conference. Thank you all for participating, and have a great day. You may all disconnect.